Operator: Good evening. My name is Brian, and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Corporation Fiscal Year 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Formacek, you may begin your conference.
Candace Formacek: Thank you, Brian, and thank you for joining us. George Freeman, our Chairman, President and CEO; and David Moore, our Chief Financial Officer are here with me today and they will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through August 4, 2015. If you are listening to this call after that date or if you are reading a transcription, we have not authorized such recording or transcription. It has been made available to you without our permission, review or approval. We take no responsibility for such presentation. Any transcription, inaccuracies or omissions or failures to present available updates are the responsibility of the party who is providing it to you. Before I begin to discuss our results, I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year ended March 31, 2014, as well as our Form 10-K for the fiscal year ended March 31, 2015, which we expect to file with the SEC later this week. The factors that can affect our estimates include such things as customer-mandated timing of shipments, weather conditions, political and economic environment, changes in currency, industry consolidation and evolution and changes in market structure or sources. Finally, some of the information I have for you today is based on un-audited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. Net income for the fourth quarter ended March 31, 2015, was $45.8 million, or $1.64 per diluted share, compared with net income last year of $26.7 million, or $0.94 per diluted share. The fiscal 2015 results included a $12.7 million pretax gain, $0.29 per share related to the reversal of the Brazilian excise tax credit allowance based on updated projections of the utilization of the credits before expiration. Total segment operating income for the quarter of $52.8 million, improved 18%, while consolidated revenues for the period increased by 13% to $778.2 million, on higher sales volumes in every segment, reflecting this year's later shipping patterns and a better overall product mix, partly offset by lower green leaf costs. Net income for the fiscal year ended March 31, 2015, was $114.6 million, or $4.06 per diluted share, compared with last year's net income of $149 million, or $5.25 per diluted share. Last year's results included an after tax gain of $53.1 million, or $1.87 per share, from the resolution of excise tax litigation in Brazil. Results for the current year included a further gain related to those tax credits of $12.7 million before tax, $0.29 per share recorded in the fourth fiscal quarter noted earlier. The current year also included an income tax benefit in the first fiscal quarter of $8 million, $0.28 per share, arising from a subsidiary's payment of a portion of a fine. Both year’s results included pretax restructuring costs of $4.9 million, $0.11 per share and $6.7 million, $0.15 per share for fiscal 2015 and 2014, respectively. Excluding those items in both years, net income for the fiscal year increased $1.2 million or $0.07 per share compared to the same period last year. Segment operating income, which excludes those items, was $167.2 million for fiscal 2015, down $8 million from the prior year’s segment results. That reduction was primarily attributable to this year's lower sales volumes, partially mitigated by a reduction in selling, general, and administrative costs. Revenues of $2.3 billion for fiscal year 2015 declined 11%, compared with the previous year, driven mainly by the lower volumes and modestly lower green leaf costs. Now turning to the segment detail, the Other Region segment operating income of $35.8 million for the fourth fiscal quarter was up 17%, driven mainly by significantly higher volumes in Africa and South America from shipments delayed into the quarter. Those benefits were offset in part by lower sales in Europe, reduced volumes in Asia and higher selling, general, and administrative costs. Full year operating income for the segment of $125.8 million, was down 6% mainly influenced by reduced sales volumes in all regions along with inventory writedowns, primarily in Africa and South America, reflecting this year's oversupply market conditions. The impact of those factors was somewhat mitigated by improved gross margins, particularly in Brazil, where volatile markets increased green leaf costs last year and by benefits from lower selling, general and administrative costs. The North America segment operating income for the fourth fiscal quarter increased by $4.6 million to $9.2 million, compared with the same period last year on a more favorable sales mix and higher processing volumes. Operating income for this segment for the full fiscal year of $31.1 million also improved, up $7.8 million on increased third-party processing business and a more favorable sales mix despite lower overall sales volume. The Other Tobacco Operations segment operating income for the fourth fiscal quarter declined by $1.9 million to $7.7 million compared with the same period last year. Results for the dark tobacco operations were lower for the quarter despite higher sales volume, mainly from a decline in wrapper volumes, as well as unfavorable comparisons to foreign exchange remeasurement gains in the prior year’s fourth quarter. Those declines were partly offset by benefits from the timing of oriental tobaccos shipped into the United States that were delayed into the fourth quarter this year. For the fiscal year ended March 31, 2015, this segment’s operating income was down $8.2 million to $10.3 million compared with the prior year. Results for the dark tobacco operations contributed significantly to the decline as lower sales volumes in part due to shipping timing were partially mitigated by favorable currency remeasurement comparisons. Startup costs for the new food ingredients business and special services group also contributed to the decline. However, results from the oriental joint venture improved for the fiscal year as the effects of lower sales volumes from shipment timing comparison was more than offset by favorable variances from the prior year’s currency remeasurement losses and lower selling, general and administrative costs. Total selling, general and administrative cost for the company decreased by $11.8 million for fiscal 2015 compared with the prior year, primarily related to lower currency remeasurement and exchange costs, provisions for suppliers and value added tax allowances, partly offset by higher customer claims. Given fiscal year 2015’s oversupplied market conditions, we are pleased with the results we have achieved. We ended the year with strong fourth quarter results, which helped to bring our segment operating earnings for the fiscal year in line with our expectations. We also realized higher margins, maintained our solid financial position, and returned over $90 million to our shareholders in dividends and share repurchases this fiscal year. Our performance demonstrates our ability to execute well on our objective of delivering a compliant product in an efficient manner to our customers, under challenging circumstances. We are well-positioned as we enter fiscal year 2016 with substantial cash balances and manageable uncommitted inventory levels. Markets in Africa and Brazil have opened at a similar pace compared to last year, and crop qualities are mixed, with production volumes expected to be lower in most origins. Although we are not seeing significant delays in customer orders, we expect shipping instructions to be weighted towards the second half of our fiscal year 2016. In addition, while our own leaf inventories are well-managed, global tobacco leaf inventory volumes are high. This may have the effect of extending the duration of the oversupply conditions, despite reduced new crop production and a more positive outlook for demand from some customers based on recent recoveries in certain of their retail markets. Looking beyond near-term market conditions, we are optimistic about the future as we believe there are several trends in our business that could provide opportunities for us to increase our market share and to offer additional services to our customers. We have recently seen an increase in the level of supply chain services, which include direct purchasing, that we provide our customers, notably in the United States, Mexico, Brazil, and the Dominican Republic. We believe these moves acknowledge the efficiencies and services that global leaf suppliers bring to the entire supply chain. In addition, we believe that compliant leaf requirements and reduction in sourcing complexity will continue to be important to our customers and should favor us stable global leaf suppliers who are able to meet these requirements. At this time, we are available to take your questions.
Operator: [Operator Instructions] And our first question comes from the line of Ann Gurkin.
Ann Gurkin: Hello everyone. How is everybody?
George Freeman: Hey.
David Moore: Hi Ann. How you doing?
Ann Gurkin: Fine. I wanted to start first by congratulating on a strong finish to your fiscal year. It’s nice to see with all the challenges out there.
George Freeman: Thank you very much.
Ann Gurkin: Want to start North America if I could, that was stronger than the Q4 and Candace reviewed some of the reasons. Was there anything else in there, any kind of timing of issues or is it really picking up some extra processing, maybe some improved mix like Candace reviewed? Is there anything else we should think about that North American number?
Candace Formacek: I think this was the main…
George Freeman: Yeah, that’s one of the main reasons. Yeah.
Candace Formacek: Yes, there, Ann. Yes.
Ann Gurkin: And should we think about that continuing in fiscal ’16? Is there any reason that shouldn’t continue?
George Freeman: I think the biggest thing to think of in ’16 for North America is the PMI arrangement that we announced earlier.
Ann Gurkin: Okay. All right. And then on that topic, I guess, can I get some more detail on Brazil and the Dominican Republic? Is it supply chain processing business in Brazil, or are you getting some customer -- I’m sorry, contracts back? Can you talk about what percentage of the business you are now processing again in Brazil that went to your customers and can you give me anymore details on the Brazil and then an update on Dominican Republic?
George Freeman: Well, I guess, you saw that Alliance announced that -- I recall that there is just similar things is what happened in the U.S. was happening in Brazil and obviously did at that in early.
Candace Formacek: Those arrangements too, Ann, were a bit smaller, so you didn’t see a specific press release from us on those.
Ann Gurkin: Those were just in early for you.
Candace Formacek: In the similar vein of range of processing.
Ann Gurkin: And the same for Dominican Republic?
George Freeman: It’s not big volume. There is more of a -- not a F.O.B market but a full service market.
Ann Gurkin: Great. Well, congratulations. That’s good to see. Proud to see that trend. And then I guess your trend is a bit more across the storage. In terms of supply and durations and inventory levels with customers and I’m just curios, given strong Q1 volumes in the U.S. and maybe down but down as much volumes maybe in Europe and Russia weak but maybe not as dry as people thought. I’m just curios as to your comments on inventory levels given that data coming through.
George Freeman: Yeah. I think you’ve characterized it well but I think there is no -- we sensed there is nowhere near the level of concern of our, from our customers as there was, let’s say a year ago. There is decline in western markets but it seems to be meeting their, sort of in line with their expectations. While I think it’s fair to say a year ago, it was exceeding their expectations and the surprise is always for the people and perhaps make them react strongly.
Ann Gurkin: Okay. And so these comments are after you’ve had conversations with customers in terms of planning out processes, timings over the next year or two years, is that fair?
George Freeman: Yes.
Candace Formacek: Yeah. And I what we tried to show in release, Ann, was that we are not seeing the similar delays in customer orders that you saw last year during this time. It is still early in the year of course. We do expect shipping instructions to be weighted more towards the second half and we also tried to point out that the global leaf inventory volumes are high. So despite what maybe happening on customer retail side, we still see that as an element that will influence potentially supply-demand this year.
Ann Gurkin: And Candace, you have a worldwide uncommitted leaf inventory number for me?
Candace Formacek: I do. And that would be 131 million kilos is our estimate at 3/31/15. It’s large.
Ann Gurkin: Okay. And then I know you said it’s, I think in line but what’s -- is it towards upper end, middle, lower, can you give me a range?
Candace Formacek: Sorry. I’m sorry. I missed your question.
Ann Gurkin: Your uncommitted inventory level.
Candace Formacek: Our uncommitted is -- we didn’t give it. It’s a little bit lower than last year at this time in our normal range.
George Freeman: We didn’t close.
Candace Formacek: Yeah. You’ll see a lot more detail on that when the K comes out but we’re very happy with those levels.
George Freeman: Yes.
Ann Gurkin: Okay. That’s great. That’s all I have. Thank you all very much. That’s great.
Candace Formacek: Thank you.
George Freeman: You are welcome.
Operator: [Operator Instructions] Our next question comes from the line of Bryan Hunt.
Bryan Hunt: Good afternoon.
George Freeman: Hey, Bryan. How you doing?
Bryan Hunt: Hi, George, Candace. I only have two questions that weren’t touched on by Ann. One is as you start to add these services with your customers and become more vertically integrated, can you talk about the potential impact to profitability?
George Freeman: Well, it’s all good.
Bryan Hunt: I’m sure it adds dollars but are you picking up margin percentage as well?
Candace Formacek: Well, what we believe that these moves do give us, Bryan, is additional throughput and through economies of scale, that’s one area and way in which we can approve our efficiencies. It also helps to better allocate leafs across the board to all customers, which gives better access to all the leaf purchases, in cases where we would move into direct purchasing.
George Freeman: And Bryan, as you know, they are very basic level. I mean, where the more risk we take on, the more reward we get. So going to an F.O.B. model is more risky and more profitable than providing services where you don’t have any crop risk and someone else has taken title to the green tobacco. So it runs the gamut.
Bryan Hunt: When I think about your position in the merchant leaf market, being able to source tobacco globally and have great traceability, how is your position improving your opportunity to take on more of these responsibilities relative to maybe say a player that is just on a local market. I mean, are you seeing those local market players lose out?
George Freeman: I believe so. We can’t predict the future but I think that’s exactly what we’re saying that compliant leaf is going to become soon to be -- and inevitably regulated world is going to be required and compliant being traceable and done the right way. I mean, I think it inures to our benefits and beyond. It inures to our similar competition of which there is only one.
Bryan Hunt: Got you. Could you also -- kind of switching gears and looking at – you’ve mentioned in your prepared comments and your press release, there are certain markets that are going to experience material declines and production year-over-year. Could you kind of outline where you see the biggest drop-offs in production for the upcoming crop season relative to a year ago?
Candace Formacek: We actually have just posted, Bryan, our quarterly leaf production reports. You can find this online.
Bryan Hunt: Very good. I’ll look around, maybe I should...
Candace Formacek: Okay. Yeah. But we’re looking at …
Bryan Hunt: I don’t know, if I can set up a notification or I get pinged every time it comes out.
Candace Formacek: I don’t know. We can look into that.
Bryan Hunt: No.
Candace Formacek: But highlights …
George Freeman: Yes. But it’s mainly in -- I’ll call in the non-core market in flue-cured. Again, I think, we’re saying that tobaccos grown in a lot of countries and so we see, in this notion we call it reduced complexity. We see that the smaller marginal areas will suffer more than the major production areas. I think you can even see it. I think on the burley side we see a shift from the -- sort of shift from the Americas to Africa.
Candace Formacek: But in general you’ll see in the report that most of the major regions are indicating lower level for next year. So sort of an overall average total flue-cured and burley ex-China about 10% down little bit more in burley on a percentage basis than flue-cured. And this is what we saw also last quarter and is not unexpected in an oversupply situation to see in this following year.
Bryan Hunt: Got you. And then lastly, when I think about maybe the quality of what’s lingering out there in the market as well as the type of tobacco there's lingering out there in the market. We had heard that there is material overhang of tobacco out of China and are you hearing that as well or are you seeing that as well in and in terms of maybe price —due to the overhang, is it more on the burley side or the flue-cured side? Thanks. That’s it for me.
George Freeman: Definitely on flue-cured but unless I comment about it.
Candace Formacek: Yes. It is hard to say there are definitely conversations that talked about that. We do see this world stock levels being very high. I think regardless of the source typically *when you have oversupply we do have more filler qualities as opposed to the stronger leaf quality and so that is the kind of leaf that we would expect to need to work through the system to get back into a global balance eventually.
Bryan Hunt: And do you think the balance will be achieved by the end of this year based on kind of the outlook for production?
Candace Formacek: It is early to say, it’s hard to say. It may not. It may take another year, but it is all moving in the right direction.
Bryan Hunt: Very good. I appreciate your time.
Candace Formacek: No problem. Sure. Thank you.
Operator: And we have a follow-up question from the line of Ann Gurkin.
Ann Gurkin: Thank you. I have some more questions. Thank you. Talking about leaf production, its look like there is a decline in burley in China. I'm just curious what’s behind that number? And does that make that Chinese more likely to come and purchase on the global market in a more consistent manner?
George Freeman: No. The Chinese don’t really use much burley. So I’m not -- I'm sort of don’t even….
Candace Formacek: Out of the total that’s pretty small.
George Freeman: Yes. That pretty small.
Candace Formacek: Margin of error might be.
Ann Gurkin: Okay. And then for 2016, can you help me with thoughts* about SG&A. What we should use for that and the tax rate also?
George Freeman: David, you can talk?
David Moore: Well, Ann, the tax rate is going to be in the neighborhood 34 to 35.5, sort of, a normal statutory tiebreak. Most of the things that affected this year’s tax rate were one-off items. We don't anticipate having that kind of magnitude next year.
Candace Formacek: Yes. But I think on the SG&A and I know that I give you a similar answer quite often. We do kind of see a large chunky movement from time to time. I think the best way to think about it is to compare where we were this year with last year. Some of the benefits you see in that improvement and the level of costs there were relative to some particularly high costs we had last year.
George Freeman: Right.
Candace Formacek: So that maybe gives you a sense for maybe a bit more normalcy in some areas. But there is always -- there are many difficult to predict items that hit that area.
George Freeman: And percentage wise, it didn’t really change that much from year-to-year.
Ann Gurkin: Okay. And then in terms of your new business Carolina Food Ingredients, is that starting up now? Is that fair?
George Freeman: It is. We are still building, but what we think. Early fall, we should be operating I think on the -- from my understanding, on the juice side. You can't sell any juice until you produced it. So it will be a certain on the juice portion. There will be a certain lag from completion until sales. It will have to quite be in a food item. It will have to qualify with all the quality programs of the purchasers.
David Moore: And it’s *all going fine. The top winner put us behind a little bit on construction schedule. So time wise* just slipped a little bit later into the year.
Ann Gurkin: Okay. That’s great. Thank you.
Candace Formacek: Thank you.
Operator: [Operator Instruction] And we have no further questions at this time.
Candace Formacek: Great. Thank you so much. Thanks for joining us today.